Analysts : James Abbott-Friedman, Billings, Ramsey & Co. Alfar Shagar -Sidoti and Co. Matthew Kelley-Sterne, Agee & Leach Allen Bortell -Inverness Management Michael Cohen-Synova Capital Ross Haberman-Haberman Funds
Operator: Good day, ladies and gentlemen and welcome to the First Quarter 2008 Bancorp Incorporated Earnings Conference Call. My name is Sereta and I will be your coordinator for today. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Mr. Andreas Veraslav [ph] Director of Corporate Communications. You may proceed.
Andreas Veraslav [ph]: Thank you, Sereta and good morning to everyone. Thank you for joining us today to review the Bancorp’s first quarter 2008 financial results. On the call with me today are Betsy Cohen, Chief Executive Officer, Frank Mastrangelo, President and Marty Egan or Chief Financial Officer. This morning’s call is being webcast on our website at www.thebancorp.com. There will be a replay of the call beginning at approximately 1:00 pm Eastern time today. The dial in number for replay is 888-286-8010 with a confirmation code of 20551183. Before I turn the call over to Betsy, I would like to remind everyone that when used in this conference call, the words believes, anticipates, expects and similar expressions are intended to identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties which could cause actual results to differ materially from those anticipated or suggested by such statements. For further discussion of these risks and uncertainties please see the Bancorp’s filings with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements which speak only as of the date here of. The Bancorp undertakes no obligation to publically release the results of any revisions to forward-looking statements which may be made to reflect events or circumstances after the date here of or to reflect the occurrence of unanticipated events. Now I would like to turn the call over to Betsy Cohen. Betsy? Betsy Cohen Thank you very much, Anders and thank you all of you for joining us today. The results of the first quarter reflect really the place in the interest rate cycle in which we find ourselves. The Bancorp has always been an asset sensitive bank and therefore in a downward spiral of interest rates, has experiences on immediate re-pricing of its yield on assets and the lag in its re-pricing of deposits. We believe that the steepness of the downturn in interest rates is coming to an end. I think that the general press has been writing about this and we would anticipate that we will get the benefit of being asset sensitive over the next ─ as the market turns within the next four to six months. It’s also anticipated that the late cuts that we think will come this week will be smaller than it has been in the past and that we’re at a place where we will have time to catch up, so to speak, on the lagging deposit re-pricing. Several other factors specifically entered into the narrowing of the net interest margin this quarter. One is the acquisition by Bancorp of, or the issuance by Bancorp of our trust deferred securities, a portion of which are floating and that portion, which was floating, they were issued in, at the end of November 2007, so this is the first quarter the floating portion re-priced on March 15, and I’m just giving this by way of example and re-priced from 7.55% to 6.05%; so we’ll have the benefit of that down tick in re-pricing during the full second quarter, which we did not have from the first quarter. That is, I think, in a nutshell, the story. Loans continued to grow during the quarter; deposits were lagged on a linked quarter basis, but in part that’s a result of our choosing to do our funding, or a portion of our time funding, our interest bearing funding, through FLHLD Advantage as opposed to certificates of deposit and so they don’t show up in the deposit total. I would suggest that we turn to the third page of the press release, which is the averaged condensed balance sheet. If we look at deposits first, we’ll see that average deposits on a transaction account basis, has been growing significantly over the course of the last four quarters, that the time deposits are down almost $100 million since the first quarter of 2007 and that that balance, for pricing reasons, has been made up primarily through the Federal Home Loan Bank. If we then look at the loan portfolio, we’ve broken out for you in the fourth quarter 2007 and the first quarter 2008 residential versus construction loans and you’ll see that it is in the area of commercial construction built to suit low shopping centers, owner occupied offices, that kind of construction lending that we’ve had our growth, that we are funding, and as we come into the spring season you always see an uptick in the construction advances. We’re funding residential housing and we have a weekly check actually, of the number of properties under agreement of sale, where from a dollar point of view, in sync with our expectations at a little better than 20% of the properties being under agreement of sale at this time. In addition, from a number point of view, our price point from the number of houses that we fund is primarily lower priced; about half of the houses that we have, that we are funding, are under agreement of sale. We have seen an uptick in sales as the spring has come in our region and so we are looking forward to that continuing as it has in April, through the spring season in a more or less normal fashion. If we turn to the next page, page four of the press release, we’ll see that the downtick in income, obviously impacts all the ratios. What we’d like to point out is that the return on tangible equity is in line with the return on equity in the first quarter of 2007 at 9.8%. Looking at the bottom of that page, as to asset quality, we have had over our history, upticks of and then absorption of nonaccrual loans. If we were to look back to the prior quarter, one would see that the aggregate of nonaccrual loans and loans 90 days past due and still accruing is actually down by some $700,000 and that the loans that are being taken through the nonaccrual phase, they’re essentially all first mortgage loans, with one exception, and we will gain control of the vast majority of those in this quarter and sell them through the next 90 to 180 days. We don’t see a significant downtick in credit quality, but we cannot say that we are totally immune to the market as it is today. The business at the bank, and I think this is the message I’d like to leave everyone with is, is really doing quite well. All the areas of our Infinity program and strategies are in fact growing. By way of one measure of success, the Infinity deposits represent about 46% of core deposits, up from some 30 some percent of core deposits last year, until we continue to grow that business as a generator of low-cost deposits. We said in the opening paragraph of the press release that the stored value solutions acquisition has produced low-cost deposits in excess of what we anticipated with deposits being at 172 basis points. The other measure of success, in terms of Infinity presence, presence is the number of accounts and the deposits generated by the health savings program. I’m going to ask Frank to report on that if he would.
Frank Mastrangelo: Absolutely, thank you Betsy. As of today we actually have exceeded 100,000 health savings accounts and our health savings deposits are approaching $150 million, that is from a quarter to quarter standpoint. We actually grew deposits from the fourth quarter to the first quarter 39% in the healthcare unit, up to almost $137 million, but funding of those HAS’s continued to be very robust and we’re seeing continued strong funding here into the second quarter.
Betsy Cohen: I think that that kind of growth brings with it some small seasonal uptick in the accounts opening expense, which was reflected in noninterest expense. I think another area that has been growing on a regular basis is the most deposit gathering that we’re doing today is a number one measure metric. There is the number of transactions that we do through that much more efficient, less personnel intensive and therefore we hope less expensive channel, and if we were to look at the first quarter of 2007 we have doubled the number of transactions that are being done through remote deposit gathering. I think I would like to stop there and to open this to the floor for any questions.
Operator: (Operator Instructions). Your first question comes from the line of James Abbott-FBR, you may proceed.
James Abbott-Friedman, Billings, Ramsey & Co.: Hi good morning everyone.
Betsy Cohen: Hi how are you James?
James Abbott-Friedman, Billings, Ramsey & Co.: Doing well, thank you. A question on the margin, if you could give us a sense of how the margin progressed during the quarter, or what the margin was just for the month of March. I’m just trying to get a sense as to what our starting point might be for going into the second quarter.
Betsy Cohen: I don’t know that we have, I don’t have that statistic with me, but Marty to you? If not we’ll give it to you offline James.
Martin Egan: You know I can give it to you James, it stayed less than, in March, as 350.
James Abbott-Friedman, Billings, Ramsey & Co.: 350, okay thank you. Then on a related note, how much of your CD portfolio re-prices in the second quarter? And if you can give us a sense as to what those CDs are priced at, are they in the low 5% range and then what are you pricing new CDs at?
Betsy Cohen: About 1/3 of the CD portfolio re-pricing in the second quarter, not all of it, you know at the beginning of the second quarter, James. We won’t get the full benefit and Marty you want to, try to remember we are looking at strategies which may not be simply re-pricing in CDs but may, in fact just by way of example, the Federal Home Loan advances would be about 200 basis points lower than [audio gap] re-pricing CDs. That may be a little bit high, maybe 175. Not that we can price all of them through that mechanism, but we’re looking for other mechanisms through which we can price that would provide us a better red downward than simply re-pricing the CDs. But, we can answer your question, but I wanted to add that information.
James Abbott-Friedman, Billings, Ramsey & Co.: I appreciate that. I had a follow-up question on the advances, but I guess, Marty, if you had the CD levels as to what their re-pricing.
Martin Egan: Sure, the entire amount that’ll re-price in the second quarter is on average about 480, in average cost.
Betsy Cohen: And what would you anticipate the replacement cost to be Marty?
Martin Egan: In the 345 range.
James Abbott-Friedman, Billings, Ramsey & Co.: Okay, thank you very much. Betsy, on the FHLD advances, are those primarily structured advances or are they primarily bullets or how are you doing that?
Betsy Cohen: Marty, do you want to…
Martin Egan: Currently they are overnight or extremely short term.
James Abbott-Friedman, Billings, Ramsey & Co.: Okay.
Betsy Cohen: One of the reasons, James, for that as a strategy is that we see our transactions accounts growing and so we want to be in a position to replace those advances or funding with transaction accounts as quickly as possible and be as flexible as possible.
James Abbott-Friedman, Billings, Ramsey & Co.: Okay, excellent. I have other questions, but I’ll step back for now and let other people ask away and if not I’ll be back at the end, thanks.
Betsy Cohen: Okay, sounds good, thank you.
Operator: Your next question comes from the line of Alfar Shagar - Sidoti and Co. You may proceed.
Alfar Shagar - Sidoti and Co.: Hi, good morning everyone.
Betsy Cohen: Hello, Alfar
Alfar Shagar - Sidoti and Co.: I was just wondering if you could provide a bit of color on, for the noninterest expenses. Was there any one time nonrecurring items?
Betsy Cohen: There are seasonal items: for example in the first quarter we incurred the bulk of the cost related to opening the accounts, the health savings accounts. Our and Frank jump in here if you would, but, if I ever let you, but you know it’s hard to get historical information because these are basically new accounts, but what we’re seeing if we look back to the first accounts that we opened, we see them remaining with us with very little leakage, so to speak, over a three or so year period and so we are looking at seasonal expenses related to increasing numbers of accounts that we anticipate will be with us over a three to four year period; that might represent $200,000, $250,000 of the expenses. On a recurring basis though, we have both an uptick in FDIC assessment, which first began in the third quarter, Marty, 2007? I believe it was in the third quarter that we first got that uptick, received the increased assessment and an amortization of some intangibles in the amount of about $250,000.00.
Alfar Shagar - Sidoti and Co.: Okay. Like in terms of the efficiency ration I guess it jumped to 63%?
Betsy Cohen: It’s all a function of what the income was.
Alfar Shagar - Sidoti and Co.: Yes, like in terms of your scalable business model, like what kind of efficiency ratios will be…
Betsy Cohen: Well it’s a margin expanse, will be back to the low 50’s and it’s all operating income related.
Alfar Shagar - Sidoti and Co.: Okay and also the SDSDL, I believe its first quarter ’08 was the accretion that we’re going to start?
Betsy Cohen: I’m sorry; I’m having trouble hearing that [Inaudible] sort of thing.
Alfar Shagar - Sidoti and Co.: Is this better?
Betsy Cohen: Yes, it’s much better, thank you.
Alfar Shagar - Sidoti and Co.: The accretion from SVSGO in the first quarter ’08, how many cents was that?
Betsy Cohen: Well there are a lot of ways to look at that issue. When we had initially done the transaction, we had anticipated that Fed funds would be at 525 and they’re significantly lower. If we were to take the and that’s where we, the way in which we made that, the assessment of accretion; however that assessment holds up in the event that we look at the funds gathered from SGS at 172 basis points and our average yield on assets of you know 675; so you could say that there’s a 500 basis point spread on something less than $200 million in funds and so you would get to a very fulsome approach to accretion. You know there are lots and lots of ways of looking at that and so somewhere between 2 ½ cents and 6 ½ cents would be my answer.
Alfar Shagar - Sidoti and Co.: Okay and also the $0.21 to $0.41 accretion projected in 2008 is still intact, right?
Betsy Cohen: Yes.
Alfar Shagar - Sidoti and Co.: Okay, thank you very much.
Betsy Cohen: If you just multiply by four you’ve got that.
Alfar Shagar - Sidoti and Co.: Okay, got it. Thank you.
Betsy Cohen: Okay.
Operator: Your next question comes from the line of Matt Kelley-Sterne, Agee. You may proceed.
Matthew Kelley-Sterne, Agee & Leach: Yes, first off I just wanted to confirm charge-offs for around 300,000, is that correct?
Betsy Cohen: Yes,
Matthew Kelley-Sterne, Agee & Leach: What was that?
Betsy Cohen: Yes, I’m sorry.
Matthew Kelley-Sterne, Agee & Leach: Okay and what was the real estate owned at the period end?
Martin Egan: [Inaudible]
Matthew Kelley-Sterne, Agee & Leach: Okay and can you just remind us the percentage of the construction loans that are in market, Pennsylvania, Delaware. I mean is there anything out of market? You know any Florida participations, California participations, Carolina’s? I mean how much of that is in your footprint, being mid-Atlantic, Pennsylvania, Delaware?
Betsy Cohen: Virtually the whole thing. We may have the timing piece, but I’d say close to 100%.
Matthew Kelley-Sterne, Agee & Leach: Okay, what is that tiny piece? I’m just curious.
Betsy Cohen: I’m just giving myself wiggles. I’m trying to think of whether we did something that could be classified as residential construction for a closet client from an Affinity group who may not have been ─ you know I’m just giving myself a little bit of wiggle room.
Matthew Kelley-Sterne, Agee & Leach: Okay and then when the call report is filed for the period ending March 31, will there be any material change in the 30 to 89 day past due construction, commercial real estate construction buckets, single family?
Betsy Cohen: Not to the best of my knowledge, Martin?
Martin Egan: No.
Betsy Cohen: No, I didn’t think so.
Matthew Kelley-Sterne, Agee & Leach: Will the 30 to 89 day data be down from period end levels?
Martin Egan: I can’t get that for you Matt.
Matthew Kelley-Sterne, Agee & Leach: Okay. Then just on the margin, I mean Fed is going to2% Fed funds. It sounds like there’s a couple moving parts there on the trust preferred and then growing some core deposit balances and run-off of the CD portfolio. I mean the 350 period end margin that you referenced earlier, if we stay at 2% Fed funds, you know for the remainder of the year, is that a margin level you can maintain or is it going to be more pressure if we stay right at 2% Fed funds?
Betsy Cohen: I think that it’s at least a margin level that we can sustain. I mean, if you look at our current asset yield, we think that we’re essentially at the bottom of that curve, so we have more than 25 basis points to achieve in terms of reduction of deposit costs. But, if there’s a downtick impact, you know first impact will be in the asset yield, so there may again be a lag time. If you’re looking at it over the balance of the year, I would have no hesitation with saying that it will improve.
Matthew Kelley-Sterne, Agee & Leach: From 350?
Betsy Cohen: Right.
Matthew Kelley-Sterne, Agee & Leach: Okay, all right thank you.
Operator: Your next question comes from the line of Allen Bortel [ph] of Inverness [ph] Management. You may proceed.
Allen Bortell -Inverness Management: Hi Betsy, it’s Allen.
Betsy Cohen: Oh hi, Allen, how are you?
Allen Bortell -Inverness Management: I haven’t talked to you in awhile, just a couple of quick questions. The loss provision increase of 600,000, how much of that is due to the larger amount of originations, and how much of it is just cautionary?
Betsy Cohen: Well, the 600,000 is cautionary, because we wanted to increase the coverage. We always, in addition to that, we provided for 750, which would take care of the increase in the portfolio at the same level; that was intended to increase the coverage.
Allen Bortell -Inverness Management: Okay. Would you see the portfolio growing as much per quarter as in recent quarters net portfolio growth?
Betsy Cohen: There are opportunities in the market. Allen, you know there are, during this period of time is [Inaudible] and trade in general press and anticipation that there will be banks that will not have an opportunity to lend as wholesomely as they have either for capital or other reasons. So there are opportunities to acquire customers who may have been at other institutions, so we’ll keep the customers going forward…
Allen Bortell -Inverness Management: Is that early pay offs helping a fair amount, a slow down in early pay offs to grow the portfolio?
Betsy Cohen: No, I don’t think that we’ve experienced that. I think that we think that a healthy portfolio and we encourage it, should be paying off on a regular basis. We haven’t seen, we don’t have a lot of loans that have bullets we’re refinancing are not taking place; so that is not the driver that grows the portfolio, new business is the driver.
Allen Bortell -Inverness Management: Okay and last question if I may. The new health accounts, do you front end those for other banks too, in private label?
Betsy Cohen: We have spoken about that as a line of business, because there are a lot of institutions that don’t have a sufficient number of the accounts to make it worth their while, but Frank why don’t you speak to that?
Frank Mastrangelo: Sure, absolutely. It’s a model that we’ve looked at, actually for the past couple of year. We have had conversations with various other institutions and access points to conglomerates of institutions, but we always end up in a challenge of whether or not we want to provide infrastructure and technology without really being able to take deposits onto our balance sheet. Because, although those, the smaller community banks haven’t really gotten to a point where they can cost justify or provide services to their small HSA basis, they also haven’t gotten to the point where their willing to well those deposits off balance sheets to another institution; so there is a quandary there at the moment, that they’re looking at. So at some point, we fully do expect to be able to step into a model whereby we can provide infrastructure technology services and capture some of those deposits, with some benefit being paid back to those smaller community banks and in essence manage their HSA portfolios on a private label basis.
Allen Bortell -Inverness Management: Okay, great. I have an opportunity I’ll talk to you off line about at some point, thanks.
Operator: Your next question comes from the line of Michael Cohen of Synova Capital. You may proceed.
Michael Cohen-Synova Capital: Hi, I hope all of you are doing well. Thanks for taking my question. Can you provide an update on some of the partnerships related to the Legg Mason relationships as well as…
Betsy Cohen: Sei?
Michael Cohen-Synova Capital: Yes, exactly.
Betsy Cohen: Yes, Frank would you like to talk about the Sei extension?
Frank Mastrangelo: Sure, absolutely. So, as you probably saw in a recent quarter, we continued to expand the Sei relationship with our services slate being launched out to the SEI investment advisory group, the outer ring of 7000 dependant investor advisors that used the SEI platform., That application and services slate launched out of data with SEI in the middle of January and it was a very soft launch gearing up to the Sei-iA conference that takes place in May, which will be the big marketing push for the services; nonetheless though, we still have seen quite a number of applications, some nice deposit growth and new commitments written inside of Sei with just the soft launch of that program. So, we actually increased commitments, for example of about $16 million for the quarter just in the Sei base. And as I said, deposits are flowing in as accounts open, but we’re still in a very, very early stage there with the Sei base and the program launch with May really being the big marketing push inside of that program.
Betsy Cohen: We have other programs that also continue to grow: Safe Harbor IRAs which were up 49% and the money market deposit accounts, but continue again to grow. Which one of these makes a contribution on the partner front ─ Frank, would you like to talk about prepaid, the prepaid group?
Frank Mastrangelo: Sure Betsy. The prepaid view one of the synergies we believe in the transaction in acquiring the store based solutions group was the footprint in healthcare that what we recognized was the SVS units. Footprints in healthcare were largely TPA related, where ours was carrier related. We’ve since been able to penetrate a decent number of those TPAs over the course of time to provide our HSA services to clients that are using our FSA issuing services. We closed an additional four TPAs in the first quarter, have since closed another four so far in the second quarter; that’s on top of, I believe, closing five last quarter. So we’re starting to get pretty good traction and still have a pretty robust pipeline of TPAs in that healthcare group, which continue to expand our health savings account distribution.
Betsy Cohen: And in the prepaid group itself, if we looked at the monthly deposit, Allen, for this group, than in Q1 of 2007, it was about $106 million and in Q1 2008 about 172, so that’s 62% growth, neither one of us which is saying that, but we think that it’s a growing area and we’ll benefit from ─ it’s above the national level of growth that the national level of growth has been 40 to 45% so we think it will continue to be robust.
Michael Cohen-Synova Capital: The Legg Mason relationship?
Betsy Cohen: I don’t know that we have with us statistics specifically on that relationship, Michael, but…
Michael Cohen-Synova Capital: Just quantitatively, I mean, how you feel that?
Frank Mastrangelo: Well what I would say is this and that is, you know it’s taken us a long time to get to a point where Sei is making impact. We signed the Legg relationship probably a year after, maybe even a little more than that, then we signed Sei. So, I think in, just from a life-cycle standpoint, Legg is probably about 12 months behind Sei, from an evolutionary standpoint.
Michael Cohen-Synova Capital: Okay, that’s helpful. Then could you provide us an update, obviously your credit statistics were very stable to improve quarter-to-quarter. You had talked about a couple, sort of anomalous, for lack of a better way of describing it, NPAs last quarter, where you felt highly confident in your ability to get paid back. Did those come off of NPA status or how did that work?
Betsy Cohen: Well I think we have to take them through the ─ in order to deliver title, they’re all first mortgages. In order to deliver title we have to take them through the foreclosure process and that will be completed this quarter, so we can’t get them out of our system until that’s complete.
Frank Mastrangelo: And Betsy, two did come off from last quarter also.
Betsy Cohen: Oh that’s true, I’m sorry, two did come off you’re right and then there is a decrease in the total, so you know it takes a couple of quarters to get them through the process.
Michael Cohen-Synova Capital: All right, thank you.
Operator: And your next question is a follow-up from the line of Alfar Shagar -Sidoti and Co.. You may proceed.
Alfar Shagar -Sidoti and Co..: Hi, Betsy. I just had a follow-up on the soundtivity [ph] of the balance sheet as of the first quarter 2008, 1 to 90 days; what was the dollar amount?
Betsy Cohen: Marty you’ll have to provide it; I don’t have that with me.
Martin Egan: Yes, Alfar can I get that to you?
Alfar Shagar -Sidoti and Co.: Yes sure. Thank you.
Operator: Your next question comes from the line of Ross Haberman of Haberman Funds. You may proceed.
Ross Haberman-Haberman Funds: Good morning Betsy, how are you?
Betsy Cohen: Hi Ross, how are you doing?
Ross Haberman-Haberman Funds: I was wondering if you could just break down some of the residential constructions loans and give us a sense of how much is spec and land and development as opposed to say custom.
Betsy Cohen: Well many of the, most of the projects we do, Ross are not custom in the way that I think that you’re using that word which is a high-end house where you build the shell and then you build out the options. Most of our projects are in the, maybe $400,000.00 range on average, some of them lower cost; so they’re not built, they may be built in groups of two to four, so they’re not customized in that same way you build a house and you sell it. That’s why I was saying, if you look at if from the standpoint of the numbers of projects of houses that we are funding, we’re funding the build out as and this is, the spring is clearly the high point of the build out, spring and summer for residential projects, but we’re funding the build out of about 150 houses, of which about75 to 80 are under agreement of sale. The balance is being built out for sale at a time when they’re complete enough to be sold. Is that helpful?
Ross Haberman-Haberman Funds: And, typically the deposits which these people are putting down are more than token 10% or?
Betsy Cohen: Yes, you know these are real…
Ross Haberman-Haberman Funds: These are real deposits and good likelihood that they’re going to close?
Betsy Cohen: These are real sale. If there is a mortgage contingency it’s been fulfilled, but there isn’t a mortgage contingency obviously, it’s subject to a substantial deposit.
Ross Haberman-Haberman Funds: Okay, no, I was just trying to get a sense of how much risk is in that part of the construction portfolio as opposed to most of it being, you know “I financed the house personally and I want to build my dream house” you know.
Betsy Cohen: Right, no, no, no, no, it’s not that model. We experience very little fall out in terms of agreement of sale.
Ross Haberman-Haberman Funds: Okay and just, excuse me, with just one follow-up regarding the medical health accounts. How quickly are those accretive to you in terms of making money and how big a balance does it need on an average account to get up to for you to make money on those accounts?
Betsy Cohen: Yes, well we have just done a study of that. We’re assuming a balance, testing this on a balance of $1500.00, which seems to be our average balance, although that balance is growing on a year-over-year basis. These are kind of like IRA’s, so it takes, the major portion of it is, that it probably takes is a couple of months to burn off the account opening expenses: the issuance of the personnel time involved in the opening of the account, the issuance of the debit card.
Ross Haberman-Haberman Funds: Right, well that’s what I meant, right.
Betsy Cohen: Yes, that portion is probably in the six-month range and as the number of accounts grow, the cost per account, because these accounts are not accounts that, like a business checking account ─ Frank, how many transactions on an average does one of these accounts do in the course of the year?
Frank Mastrangelo: Betsy, I believe we average about two transactions per account over the entire base.
Ross Haberman-Haberman Funds: Okay.
Betsy Cohen: But, they’re very low-volume accounts, mostly done with debit cards.
Frank Mastrangelo:  In any given month, over half of the accounts do not have a debit transaction in them.
Ross Haberman-Haberman Funds: Got it.
Frank Mastrangelo: Okay, thank you.
 Betsy Cohen: [Inaudible] You’re in a low maintenance mode.
Ross Haberman-Haberman Funds: Got it, appreciate the help, thank you.
Operator: Your last question, which is a follow-up, comes from the line of James Abbott with FBR. You may proceed.
James Abbott -Friedman, Billings, Ramsey & Co.: Yes, hi, thanks again. A quick question on the pipeline today versus the pipeline at December, do you have some color around that?
Betsy Cohen: James, what pipeline?
James Abbott -Friedman, Billings, Ramsey & Co.: I’m sorry, the loan pipeline.
Betsy Cohen: Oh, I’m sorry. Yes, no we have a very good loan pipeline, we always do. The question is how much we want to do.
James Abbott -Friedman, Billings, Ramsey & Co.: So it’s conceivable that you can ─ I’m just trying to confirm whether the loan growth of the first quarter is something ─ I mean it’s been kind of a volatile loan growth pace. We’ve gone from over 10% per quarter down to less than 2%, so I’m just trying to get a sense as to what it should be.
Betsy Cohen: Yes and I would like to give you an charismatic answer based on the pipeline, but I think I have to be forthright and say that at a time of credit volatility or credit sensitivity or changing credit dynamics, we may choose not to do loans that we otherwise might have chosen to do in a less volatile period. So, it’s not a totally charismatic response. The size of the pipeline would yield very significant growth, but we may exercise judgment to reduce it.
James Abbott -Friedman, Billings, Ramsey & Co.: Okay, which is fine. Do you want to give any guidance then on what we should be thinking about in terms of modeling for the second quarter?
Betsy Cohen: Yes, I would prefer not to at this point.
James Abbott -Friedman, Billings, Ramsey & Co.: Okay and so let me turn my attention then to of the ─ and I appreciate the additional detail on the construction portfolio by the way. Can you give the, how much of that is land and acquisition growth as opposed to commercial construction growth? I think you suggested it’s mostly commercial construction growth.
Betsy Cohen: It’s mostly commercial. We’re not funding new loans, new land acquisition [Inaudible]
James Abbott -Friedman, Billings, Ramsey & Co.: Okay, so the only real, I mean most of the growth was commercial then, it was not land or residential related, ok. Then could you remind us, just as a follow up, on the loan to value on residential construction on approximately in the ─ you may not have the exact number there, but an approximate number on that?
Betsy Cohen: Yes, our underwriting across the portfolio is in the mid-sixties. We think that that probably, a little, from what, from the sales that we see, which may be 10% down from our underwriting, so we may be at the 75% level, although you know I can’t tell you any specific project.
James Abbott -Friedman, Billings, Ramsey & Co.: Okay and is that on retail value, is that on bulk sale value, wholesale cost
Betsy Cohen : It’s on the most recent sale value.
James Abbott -Friedman, Billings, Ramsey & Co.: Most recent retail sale then, ok.
Betsy Cohen : That’s why we have retail [Inaudible]
James Abbott -Friedman, Billings, Ramsey & Co.: Okay and what, how should we think about the reserve ratio in terms of the ─ because it’s, no offense but it’s substantially below the industry average and of course your charge-offs were also substantially below the industry average: is it a function of charge-offs, is it more sensitive to nonperforming assets, can you give us some sense on that?
Betsy Cohen : I think it’s a combination of all those things. What we’ve identified in the portfolio as trends or issues, it’s a combination of all of those things, and we’re trying to increase the coverage.
James Abbott -Friedman, Billings, Ramsey & Co.: But is it more sense, in other wards if we see a big spike in nonperforming assets that you don’t believe the loss believe the loss to be very high, would we see the reserve ratio increase much or not so much?
Betsy Cohen : No, I mean not due to that factor.
James Abbott -Friedman, Billings, Ramsey & Co.: It’s primarily based on loss assumptions then?
Betsy Cohen : Absolutely.
James Abbott -Friedman, Billings, Ramsey & Co.: Okay and the very final one, what is, and this is the definitional question and an acronym that I didn’t recognize, the TPA?
Betsy Cohen : I’m sorry; it’s a third-party administrator for health savings accounts, a benefits company that does a whole range of benefits fro a wide range of clients. They administer those benefit programs and their called third-party administrators.
James Abbott -Friedman, Billings, Ramsey & Co.: Okay, I’m familiar with the business; I just didn’t recognize the acronym. And, you said you closed for the first quarter; you closed for an additional in April it sounded like, on a base of how many?
Betsy Cohen : How many, Frank, we were focused on converting the shared value systems, half the shared value systems business has been payroll related that we were looking at taking those existing relationships and extending them. That was one of the benefits we saw in making this acquisition until how many ─ what is the universe, Frank, of potential conversions?
Frank Mastrangelo: Well the universe is actually just recently, greatly expanded, so let’s say the universe we were working off of in the late fourth quarter into the majority of the first quarter was about, let’s say 200 TPAs with a significant incremental increase in that universe with a handful of new activities in the first quarter.
James Abbott -Friedman, Billings, Ramsey & Co.: Okay so there’s a universe of 200 potentially and that’s increasing. Then the number that you or that actually had…
Betsy Cohen : We’ve estimated about 10 of those 200 in the first quarter.
James Abbott -Friedman, Billings, Ramsey & Co.: Oh, okay. So you had 10 at the beginning of the quarter, you ended up with 14 and then by the end of April you’re at 18?
Betsy Cohen : No, through the ─ we made the acquisition on November the 30th, so since November the 30th, in the last four months we’ve consummated 10 of the 200.
James Abbott -Friedman, Billings, Ramsey & Co.: Okay, okay. Thanks ─ sorry for the ─ thank you very much; I just wanted to understand the size of the market there. Thank you very much.
Operator: At this time we have no further questions in the queue. I would now like to turn the call back over to Miss Betsy Cohen for closing remarks.
Betsy Cohen : Thank you. Thank you all for your very good questions, which were in addition to the full amounts of information that’s available. We hope we’ve provided you in this quarter with both an understanding of the issues that face the financial institution sector and how we’re dealing with them, as well as what we think our individual opportunities are which we think are numerous. We look forward to talking with you again next quarter.
Operator: Thank you for your participation in today’s conference. This concludes the presentation.